Operator: Good morning, ladies and gentlemen, and welcome to the KWS SAAT conference regarding the publication of the financial results '24-'25. [Operator Instructions] Let me now turn the floor over to Dr. Jorn Andreas.
Jorn Andreas: Good morning, everyone, and welcome to our analyst and investor call for the fiscal year '24-'25. I'm very pleased to share how KWS has delivered in a challenging agricultural environment with a robust operational performance and a number of deliberate strategic choices that set us up well for the future. Before we begin, as always, a brief reminder. Today's remarks include forward-looking statements that are subject to risks and uncertainties, and you will find the full disclaimer on this slide. And with that, let me take you through the year's highlights. Over the past year, we navigated a weaker agricultural market condition with resilience, and we delivered our full year targets in line with the latest guidance. Two signals stand out: a strong increase in free cash flow and a low net debt position, both underlying KWS earnings power and balance sheet strength. We also sharpened our focus. We streamlined the portfolio. We repositioned the corn segment as we also anticipated and communicated earlier and set a new financial framework designed to drive sustainable, profitable growth. As a leading seed specialist, this means targeted long-term investments in growth areas and in our innovation pipeline and continue to help to address the real challenges facing agriculture. At the same time, we want our shareholders to participate in the company's long-term success. We are aiming for a higher payout ratio, while maintaining a strong commitment on dividend continuity. And looking ahead to '25-'26, we are confident in the resilience and the trajectory of our market-leading businesses. So even if market headwinds unfortunately won't disappear overnight, we expect to stay on our growth path and create sustainable value for all our stakeholders. Let's now take a look at our key performance indicators for the last fiscal year. So the figures presented on that slide relate to the continuing operations of KWS following the sale of our South American corn and sorghum activities that we closed in the first quarter of the last fiscal year. Net sales of EUR 1.68 billion were at previous year's level, including a slight negative currency effect. On a comparable basis, so on a constant exchange rate basis and without portfolio effects, organic growth was plus 1%. So overall, I find this quite remarkable as an outcome, given the declining acreage that we've seen in our global ag markets, in particular, in our core European markets. EBITDA was EUR 351 million, down 13.4%. This reflects special items and operating developments. Keep in mind that previous year included a positive onetime effect of EUR 28 million from divestments of our Chinese corn business. We also had higher costs on the administrative side, increased R&D and also selling expenses. Net income declined to EUR 140 million, mainly due to lower EBIT and a higher tax rate. The financial result, however, improved significantly, driven by higher interest income after we materially reduced our net debt. A very nice result is our increased gross margin, which grew slightly to 63.1%, benefiting from positive [Technical Difficulty] sugarbeet. So this development clearly demonstrates our pricing power even in times of challenging commodity market and the premium innovation [Technical Difficulty]. Free cash flow from continuing operations improved substantially to EUR 123 million, mainly due to higher cash from operating activities and lower CapEx. As a consequence, our net debt fell significantly from EUR 385 million to EUR 62 million or 0.2x EBITDA. So all in all, this is a very solid picture against the industry backdrop. A quick walk-through of the sales bridge. We achieved a slight organic growth despite the continued headwinds and lower acreage, organic growth of plus 1%, mainly driven by sugarbeet and vegetables. With this, we slightly exceeded our latest sales outlook where we guided around 0% growth. On the other hand, FX effects had a negative effect of approximately 1% primarily related to the Turkish lira. Overall, this underscores our ability and our resilience to deliver stable sales under challenging conditions. Our 2 differentiators, the economic value of our [ varieties ] and the broad portfolio that balances opportunities and risks. To illustrate, in the last fiscal year '24-'25, we generated 2/3 of our sales with new varieties, which is a strong indicator of our innovation power and also a clear evidence of our R&D effectiveness. We also achieved a new record, 584 new varieties approved in the last year -- last reporting year. That's an increase of more than 4% versus the previous year, which means with this, we're also laying the foundation for future growth. Our income statement reflects both a robust underlying business performance, but also several one-off items. So let me walk you quickly through the special items that impacted our results. First, prior years included a positive onetime gain of EUR 28 million from the sale of our Chinese corn business. This year, we benefited from the reversal of a VAT provision amounting to EUR 7.7 million in our Sugarbeet segment. So this was established in the previous fiscal year related to a claim which we successfully fended off. Another one-off effect is the EUR 20.7 million write-down related to the divestment of our North American joint venture, AgReliant that we completed in June 2025. Despite these effects, we maintained a strong profitability of an adjusted EBITDA margin of 20.4%, while continuing our high level of R&D investments that are crucial for our long-term competitive advantage. Net income from continuing operations reached EUR 140 million or EUR 4.24 per share. And taking into account the extraordinary gain of EUR 96 million from the sale of our corn and sorghum business in South America, earnings per share increased sharply to EUR 7.16 per share. Let us now turn to our segments, and we are starting with Sugarbeet and Sugarbeet net sales rose to EUR 872 million on an organic basis, plus 2.2%, even though acreage declined by roughly 3%. The context matters here. So European producers reduced contracted areas from last season's very high base, moving essentially back toward normal levels. Growth was driven primarily by Northern, Western and Eastern Europe and also, but to a lesser extent from North America. Our sustainable product innovations, CONVISO SMART and CR+ continue to lead. Together, they account now for 61% of our segment sales, which is up from 56% last year. We also launched unique combination varieties, so a combination of CONVISO and CR+ across several European countries, which will also support the future growth. EBITDA increased 5%, including the EUR 7.7 million onetime provision reversal. EBITDA margin rose to 45.5% so overall profitability improved, supported by portfolio mix and sustained pricing power. Moving on to corn. I mentioned it earlier, corn saw a fundamental strategic change, which I address later. Market-wise, Europe moved lower with reduced acreage in our continuum corn operations, which includes the pro rata contribution of AgReliant, sales declined 2.7% to EUR 683 million. Adjusted again for FX and portfolio, the decline was minus 1.6%. So Europe held stable and the decline came mainly from North America, reflecting FX, but also volumes in a pretty competitive market. EBITDA was at EUR 53 million, below prior year's EUR 82 million, which had include, however, the EUR 28 million onetime gain that I mentioned. The EBITDA margin [Technical Difficulty] accordingly below last year. Let's now turn to Cereals. In Cereals, net sales declined as expected by about 4.6% to EUR 263 million, driven by weaker commodity markets and a declining business [ in Russia ] where we benefited from onetime sales in the previous fiscal year. Our largest crops, hybrid rye and oilseed rape were slightly down versus last year, while wheat was stable. EBITDA declined to EUR 43 million, reflecting the softer top line and continued high R&D investments, in particular with regards to our hybridization efforts in cereals. On the other hand, Vegetables continued to perform very well. It was our fastest-growing business unit in the last fiscal year, top line 16.2% to EUR 72 million. And this increase was primarily driven by spinach seeds, which accounts now for 2/3 of the segment sales. We added sales activities across key European markets. We improved our go-to-market, which supported the dynamic sales growth and also strengthened our global leadership in spinach seeds. The bean business was flat in a slightly softer market. So also here, we were able to gain market shares. EBITDA was at minus EUR 22 million below last year due to the planned step-up in expenses for breeding and sales expansion. These are, as you know, deliberate investments to build a significant long-term position in the vegetable seed market. Operating cash flow increased significantly to EUR 228 million, mainly because cash outflows for inventory and receivables were lower. Cash outflow from investing activities was at EUR 105 million, slightly above last year. However, last year included roughly EUR 40 million proceeds from the sale of our Chinese corn activities. So that is important for comparison purposes. Investments focused on production, R&D capacity, including the completion of our lead seed storage in Einbeck and the opening of an R&D center for vegetable seeds in the Netherlands. So overall, free cash flow improved substantially to EUR 123 million. As a consequence, our net debt position improved substantially from EUR 385 million to EUR 62 million or 0.2x EBITDA. In practice, that puts us close to a net debt-free position. Two main drivers. First, our annual EBITDA of EUR 350 million already covered a large share of the starting debt and our M&A proceeds of EUR 277 million from our divestments further debt. Net working capital did build through the year, but it remained significantly below the prior year period, supporting free cash flow. Our capital structure is now fundamentally stronger, giving us flexibility to invest in growth, advance our strategy and, of course, also selectively pursue M&A from a position of strength. I'm pleased to report that beyond the operational delivery, we reached key strategic milestones in our positioning. Most notably, we realigned our corn segment, streamlining the portfolio with divestments in North and South America and in the prior year in China, of course. The result, higher profitability and a much stronger financial position. Going forward, KWS will focus on the profitable European corn business, where we already today hold a market leadership position. So we are deliberately exiting sales outside Europe in exchange for higher margins, in exchange for reduced currency and market risks and also lower capital intensity. So by exiting the corn GMO markets, we've also reduced our dependence on external IP and can concentrate on our own proprietary breeding technologies. This focus supports our goal of sustainable profitable growth, it supports our goal of entrepreneurial independence and it also fits very well to the growth opportunities we see in Europe, in particular, in grain corn. With the portfolio adjustments behind us, we are now entering a new phase of corporate development, and that's why we have refreshed our strategic framework, and we set new medium-term financial targets. And our priorities rest on 3 pillars: First, expand our market leadership in established crops. We want to scale activities where we see additional value potential such as vegetable seeds. And of course, we want to continually push innovation in plant breeding. And these 3 drivers, lead, build, advance, they form a clear framework for our profitable and sustainable growth in the future. And over the next 3 years, so over the midterm period, we're targeting a 3% to 5% organic net sales growth and EBITDA margin of 19% to 21% alongside our 2030 sustainability ambition. And in this context, we have also updated our dividend policy. KWS values continuity, and we are committed to stable and increasing dividends. We are now aiming for a higher payout ratio of 25% to 30% of earnings after taxes adjusted for portfolio and other onetime effects. And for last fiscal year [ '24-'25 ], the Executive Board and Supervisory Board will propose a dividend of EUR 1.25 per share [indiscernible] year-over-year. So that implies a 26% payout ratio of adjusted earnings after taxes. And as always, we will balance dividends with investments, inorganic growth and potentially M&A. That balance is important to us. Let's now turn to the outlook for the current fiscal year. In line with our midterm ambitions, we expect a comparable net sales to grow by approximately 3% year-over-year in '25-'26 so despite a subdued -- still subdued agricultural backdrop and an expected decline in Russia due to import restrictions and localization of seeds. And I think that's a strong statement. We also expect an EBITDA margin of 19% to 21%, so consistent with our midterm target range. This excludes a positive special effect of around EUR 30 million from the sale of our license rights as part of the divestments of our North American corn activities that we will recognize in the first quarter '25-'26. Yes, with that, and before I close, I would like to warm you -- invite you to our Capital Markets Day on 18th of November 2025 in Einbeck. So my fellow Board colleagues and I will share deeper insights into our goals, into our growth ambitions. And while we offer [Technical Difficulty] participation, I would be delighted to see many of you in person. So you can really expect a full day of presentations, Q&A with deep dives on strategy, on business, on financials and also on pipeline and innovation plus on-site insights into our innovation capabilities. We talk about genome editing, we talk about hybridization. And of course, you will have a look also at our sugarbeet production backbone. So there will be ample of opportunities to have direct conversations, and I look forward to welcoming you on 18th November in Einbeck. That concludes my prepared remarks. Thank you for your attention, and I look forward to the Q&A together with our Head of Investor Relations, Peter Vogt.
Operator: [Operator Instructions] And first up is Oliver Schwarz from Warburg Research.
Oliver Schwarz: Congrats on the past results. I've got 2 questions here on the results. Firstly, I saw that earnings were boosted by a reversal of provisions to the amount of EUR 7.8 million. Could you elaborate on that one? Secondly, I saw that -- or realize that the outlook is now basically performed on -- when it comes to earnings on the EBITDA level, no longer on the EBIT level. But still, you tend to report the EBIT as the prime earnings figure in the segmental overview. Is that going to change in the future? And what's the rationale in regard to switching from an EBIT guidance to an EBITDA guidance? That would be my questions.
Jorn Andreas: Oliver, thank you for your question. So yes, correct. So on the VAT provision, we basically refer to VAT provision in the amount of EUR 7.7 million that we took basically earlier -- in the previous fiscal year. It relates to a dispute [Technical Difficulty] in Russia with the applicability of a certain VAT rate, and we successfully tendered this off in front of the court. So that put us in a position to reverse this provision, and that had a positive onetime effect that we recognized in the Sugarbeet segment. On the EBITDA, correct, yes, so we are switching essentially from EBIT to EBITDA, and that is mainly driven by 2 factors. First is we had a longer discussion in the first half of this year, market perception study where we talked to many people in the financial community, and there was the preference and the rest also to be more comparable also to our peers in our industry. And that's why we switch from EBIT to EBITDA. And also internally, that provides us with a much cleaner view on our operating performance because it strips out accounting effects in particular with regards to the purchase price allocation also in our vegetables segment. So with that, we want to make sure that we are consistently also reporting internally and externally with a true view of our operating -- underlying operating performance. And this will be also the guidance going forward, both on the group level as well as on a business unit or segment level.
Operator: The next question comes from Christian Faitz from Kepler Cheuvreux.
Christian Faitz: I just have a question on your relatively cautious outlook for this current fiscal year. Is that because pharma profitability in your relevant markets continues to be low? Or what's the background to essentially a flat development minus obviously the 3% envisaged organic sales growth?
Jorn Andreas: That's a good question. So exactly as you're saying, so we are still in a period of, I would say, subdued agriculture commodity prices. So when you look at the price development, then we are essentially on 2020 commodity price levels, which has, of course, an impact on the producer margin. So there is not so much, of course, an incentive of our customers to increase production, to increase acreage under these, let's say, price -- commodity price conditions, and that has also an effect on our guidance. We still believe that the 3%, we are actually making also a strong statement because the market will be more in the area of 1% to 2% growth for the current fiscal year. So we believe with this outlook, actually, we will be able to grow faster than the relevant markets. And of course, what we also took also into consideration in our outlook and I mentioned this is that we will have also [Technical Difficulty] also going forward based on the current activities to increase the localization of production and the reduction of the import quota. So that has an effect that has been built also in our guidance. But still, this is very much also with what we guide for the midterm. So we actually feel good with that.
Operator: And next up is Michael Schaefer from ODDO BHF.
Michael Schaefer: The first one is on your outlook statement on -- for sugarbeet. I mean, you're looking for a slight organic growth. This is, if I understand, despite what you're expecting maybe from Russia, maybe some clarification to what extent you expect the Russian business or how this to evolve in sugarbeet primarily? And then also related to the sugarbeet business, you are forecasting basically a lower margin in the Sugarbeet segment for the current fiscal year. This is on the back of the special effects, which -- to the VAT recovery basically, which you accounted for. However, if I strip this out, I'm getting to something like 44.6% margin for last year. So question is, how do you see basically this on a more comparable basis, the margin to evolve on sugarbeet? This would be my first question. The second one is on the vegetables side. [Technical Difficulty] correctly, you provided some undistorted sort of profitability target of -- or a number of around 20% margin for the vegetables business on that one. So if I strip this out compared to your reported negative number, so I'm getting to something like a EUR 36 million -- EUR 35 million of extra OpEx, which you are basically earmarking for investing into further growth. So I wonder how this number is evolving in the years to come on what's baked into the midterm guidance for the segment or for the group in general, how this is evolving. So this would be my 2 questions.
Jorn Andreas: Very good, Michael. Very good questions. So as you rightfully said, so we believe that the market -- of course, the sugar market is still under pressure. I mentioned already a very weak commodity price situation still. Of course, as a seed producer, we are only indirectly affected by these commodity price movements. However, we believe on an acreage basis for sugarbeet in our relevant markets, it will be more stagnating in the current fiscal year. We initially had a more optimistic outlook, but I would say right now, what we see in front of us, it's rather stagnating. However, what we've also demonstrated in the past, and that's really important is that even under those conditions, we are to grow and we also increase our profitability, thanks to our innovative product portfolio. So the pricing power that we have, the portfolio effects [Technical Difficulty] innovative varieties CONVISO, CR+ and also our unique new combination varieties always puts us in a position to be able to grow and also to deliver value even under, let's say, adverse, I would say, market conditions. That means also that we are confident that we will be able to maintain also the profitability. You rightfully said we had in the last fiscal year, the reversal of a provision, which is a positive onetime effect. We will not, of course, have that in the current fiscal year [Technical Difficulty] a profitability well above 40%. So with that, I believe we are well positioned also to navigate also this more challenging environment that we see. I mentioned Russia. So for Russia, I would say our outlook is stable. So for us, sugarbeet remains a better business for us also in the current fiscal year. For the other crops, it's more an opportunistic business because here, the localization of the activities in Russia have already progressed quite a bit, and that's also baked into our guidance that in particular, when it comes to corn, for example, we have a much lower forecast for our business. And this is more on the opportunistic side. But so far, I would say the situation in Russia is neutral. It hasn't worsened. It hasn't improved, and that's also how we react to this market picture. Vegetables, yes. So we are really happy also with the operative profitability. You can imagine with the 16%, we are able to also turn this into a very nice operating leverage for our underlying business, so spinach and beans. So that's really on the positive side. But at the same time, we need to build our go-to-market structure. We need to build our breeding infrastructure. We are roughly halfway through, let's say, the innovation cycle of what we call our foody crops, so tomato, pepper, cucumber, melon and watermelon. So you will see also, I would say, until the 2020s, an additional buildup of expenses in order to build that structure, but our goal is over the midterm for the next 3 years to launch basically product launch varieties in each of the foody crops so that you see also now traction when it comes also [Technical Difficulty] years. So that's what you can expect. So further buildup of structure in the next years, but also a launch of key varieties that will be the driver of our future growth in the years to come.
Michael Schaefer: Can I have a follow-up on vegetables, please? I mean you reported strong organic sales growth in the past fiscal 15% plus, but guiding for flat organic sales growth for the current -- for the ongoing fiscal year. So what's holding back?
Jorn Andreas: Well, it's more a comparable topic. So of course, we are now comparing ourselves against [Technical Difficulty] 16%. It's a significant growth, and we've been able to capture very good market share, particularly Italy, other parts of Europe. We also saw nice growth also in North America. That's why we've been a bit on the cautious side and say, okay, based on that high comparable level, I think would be for us already a good result if you can sustain this also given, of course, the pressure that the consumers have when they choose these products. So I can -- from my side -- I mean, I would not be surprised if we can maybe put a little bit on top of that, but we said, okay, based on the very good, let's say, lending of last year, that is basically what we see in front of us.
Operator: At the moment, there are no further questions. [Operator Instructions] There are no further questions.
Jorn Andreas: All right. If there are no further questions, then again, thank you very much for your interest in KWS. And as I said earlier, please have a look at your Inbox to see the invitation to our Capital Markets Day. So we look forward to welcoming you Einbeck, continue the dialogue on site and of course, also over the coming weeks and months together with our Investor Relations team. So thank you and all the best until then.